Operator: Good afternoon and thank you for participating in today's conference call to discuss AutoWeb's Financial Results for the Third Quarter ended September 30, 2019. Joining us today are AutoWeb's CEO, Jared Rowe; the Company's CFO; J.P. Hannan; and the Company's outside Investor Relations Adviser, Sean Mansouri with Gateway Investor Relations. Following their remarks, we will open the call up for your questions. I would now like to turn the call over to Mr. Mansouri for some introductory comments.
Sean Mansouri: Thank you. Before I introduce Jared, I'll remind you that during today's call, including the question-and-answer session, statements that are not historical facts, including any projections, statements regarding future events or future financial performance or statements of intent or belief are forward-looking statements that are covered by the safe harbor disclaimers contained in today's press release and the company's public filings with the SEC. Actual outcomes and results may differ materially from what is expressed in or implied by these forward-looking statements. Specifically, please refer to the company's Form 10-Q for the third quarter ended September 30, 2019, which was filed prior to this call as well as other filings made by AutoWeb with the SEC from time to time. These filings identify factors that could cause results to differ materially from those forward-looking statements. Please also note that during this call, management will be disclosing adjusted EBITDA. This is a non-GAAP financial measure as defined by SEC Regulation G. A reconciliation of this non-GAAP financial measure to the most directly comparable GAAP measure is included in today's press release, which is posted on the company's website. And with that, I'll turn the call over to Jared.
Jared Rowe: Thank you, Sean and good afternoon everyone. So we continue to make good progress this quarter and returning AutoWeb to consistent growth and profitability. As a result of the various initiatives we deployed over the course of the year, we become much more efficient with both the traffic that we are generating as well as the productivity with clients. This is all reflected across several key financial and operating metrics. On the financials, this is our fourth consecutive quarter of gross margin expansion and our strongest quarter of gross margin since Q1 of 2018. As I've stated in the past, you can best interpret our financial performance and progress through the key operating metrics we provide in our quarterly results. What you'll find is that we are doing more with what we have, for example, lead traffic was down 4% sequentially, but lead volume was up 5%. Click traffic was down a couple of points as well, but click volume was up 11% compared to Q2, this all reflects better conversion of traffic to leads and clicks. The same applies to our sales and client base. Although, we still have work to do to increase our dealer count, we are increasing productivity with the clients that we have. Dealer count was down 4% compared to last quarter, but lead capacity actually increased to approximately 143,000 targets. We're beginning to build deeper relationships and increase market budgets with our clients' which tells us that our strategy to provide more value appears to be working. We work diligently to improve the quality of our products and we are executing on cross sell and up sell opportunities. However, we need to do a better job of increasing the total network of retail dealers that we work with. And this will be accomplished by better promoting the value that we can provide dealers as a strategic partner, not just as a vendor that tells them products and services. I stressed this point on previous calls and we continue to work to evolve our go-to-market approach to better align with this philosophy. I'll avoid to discuss on that later in the call. But before commenting further, I'd like to turn it over to J.P. to walk through the highlights of our Q3 results. J.P.?
J.P. Hannan: Thanks, Jared and good afternoon everybody. That was a good number of shareholders and prospective investors during our third quarter. And based on some of that feedback we received, we're going to refine our approach to these calls that focus on providing commentary around the key themes for the quarter as opposed to reviewing every line item that can be found in our press release and filings. So with that said, third quarter revenue came in at $28.6 million, which is up 5% from last quarter and down 10% year-over-year. The increase from last quarter is largely driven by improved conversion and delivery rate. As we've mentioned in prior quarters, dealer count and lead capacity do not necessarily have to increase for us to drive revenue growth as long as we can do a better job at delivering the full number of leads requested by our dealer network. Overall, we're doing a much better job of that today, which supports Jared's earlier comments about building deeper relationships with our clients. Now, similarly, in our clicks business, while click traffic was down both sequentially and year-over-year, click volume was up considerably as a result of our improved conversion. Again, the key theme here is that we are doing a better job of monetizing what we have which is a result of the improvements we've made to our traffic acquisition, product quality, sales channel mix and delivery rate. Gross Margin for the quarter came in at 20.7%. And as Jared mentioned, this is our fourth consecutive quarter of gross margin expansion, which is a result of our consistent focus on higher margin sales channels and revenue mix, as well as the improved traffic acquisition and conversion we referenced earlier. Total operating expenses in third quarter were reduced to $7.8 million compared to 10.4 million in Q2 2019 and 14.4 million in the year ago quarter. As we noted in the third quarter of last year, we did incur one time severance costs and a long lived asset impairment charge totaling $3.1 million. As I stated in prior quarters, we are keenly focused on running a lean and operationally efficient organization and these are tax improvements or direct reflection of that. We'll continue to manage our fixed cost structure to ensure we have right sized our personnel technology costs and physical footprint to align with our overall directed and strategy. But we'll continue to seek additional operating efficiencies wherever feasible. Adjusted EBITDA in the third quarter was $842,000 compared to a loss of 2.1 million in Q2 2019, and a loss of 1.9 million in Q3 of 2018. So although our margins and our expenses have improved and adjusted EBITDA is moving in the right direction, we are short of where we would like to be in terms of revenue growth. We believe improvements to the top line will ultimately accelerate profitability as we now have much better control of our fixed and variable expenses. Net cash used in operations in the third quarter improved to $1.3 million, compared to 3.5 million in Q2 2019 and cash generation at $2 million in Q3 2018. Cash burn was reduced in the third quarter as expected, and we are still on track for overall cash generation in Q4. At September 30, 2019 cash, cash equivalents and restricted cash stood at $6.1 million, compared to 6.4 million at June 30, 2019 and 13.6 million that December 31, 2018. This decrease in cash from the end of 2018 was driven by operating losses and the funding of capital expenditures in the first half of 2019. As of September 30, we also had an outstanding balance of $1 million on our $25 million secured revolving credit facility. So that was primarily due to the timing collections as we try not to carry balances on that revolver from quarter-to-quarter. Some of you may have noticed that we amended the terms of our credit facility with PNC Bank last week. Because AutoWeb was previously operating at an adjusted EBITDA loss when that credit agreement was structured, we had limited flexibility as to how to structure those initial maintenance covenants. We were also anticipating a stronger first half 2019 than we actually experienced. However, given our improved financial performance over the past six months, we were able to amend the facility to provide for what we believe is a much more measured approach now. This amendment reduces the short-term EBITDA covenants, and then ramps the requirements much more gradually over the next two years versus what we had previously. We've also added a fixed charge covenants requirements going forward, as well as a benefit of a new equity cure provision into the agreement. We believe this more balanced covenant package will provide us with greater operating flexibility going forward. As I mentioned earlier, you can find the details of all of our key operating metrics in the press release we issued this afternoon. Now, I don't want to introduce new metrics because there are enough to track. But many of our metrics can be taken a layer deeper by looking at them together, as opposed to individually, which can help everyone in assessing our performance and trends. For instance, lead volume relative to lead traffic, lead capacity relative to dealer count and revenue per click and click volume relative to click traffic. Now, a quick point on clicks, it's worth noting that we also generate revenue from click activity derived from third party publisher sites that we don't own. So while that revenue is included in the total click revenue presented in the 10-Q and as a component of the net revenue per click calculation, we present in the press release highlights that third party activity is not reflected in the proprietary click traffic and click volume highlights we provide in the release. We provide those two additional metrics in the release for investors to monitor, as they represent the long-term core of our click business. And given we control those sites end-to-end; we believe those numbers should be much more meaningful with less volatility. I want to take a moment to clarify that because we've had that question arise a few times from prospective investors. So with that, that concludes my prepared remarks and I'll turn the call back over to Jared. Jared?
Jared Rowe: Thanks J.P. So as you can see, the operational improvements to our business are yielding positive results, and the investments we've made to improve our products that are beginning to bear fruit. We've invested in our products, established new processes, and most importantly, have implemented the changes necessary to create what we believe a sustainable model that can grow without sacrificing margin. The fixed costs in our business are also in a good place. Now it's a matter of ramping up revenue without giving up margin. We do expect the improvements that we've made to our variable expenses will help us accelerate the bottom line of revenue growth. For example, we took roughly $400,000 of costs out of our search spend last quarter and generate the same amount of leads, but at a higher margin as we sold more through the proper channels. We believe that there's still more room to improve here. Overall, we've been more efficient with traffic acquisition, more efficient with conversion once a consumer gets to our lead page and then we've done a better job of selling those leads and clicks to the right distribution channels. Those channels are retail dealers for leads and endemic advertisers for clicks. As I mentioned earlier, the quality of our products have also improved. Higher quality leads come with higher quality clicks which in turn leads to higher quality relationships with our clients. This is further reflected by the increase in lead capacity this quarter both on a gross and on a per dealer basis. In the past, I discussed the importance of aligning our product attribution to what our dealers' want, which we believe is a 30 day close rate at their dealership. We are utilizing new data sets that can provide this level of detail in addition to other key data points that will help us continue to refine our products at a fast rate and respond to consumer trends and purchasing behavior. Ultimately our clients' success is our success, so we are keen to provide the data that they are looking for. From macro perspective, the auto industry continues to see challenges with profitability at the dealership level as margins on the new car sales are near decade lows. Well, this is by no means a positive trend. We believe that this will help to put further focus on media attribution, which is something that is embedded in our model. It's far easier for our clients to calculate the ROI that our leads, clicks and emails provide than other forms of digital and traditional media. So we like our position in the market as we are aligned with our clients and their outcome. Overall, our foundation is much stronger today than it was even six months ago as our various initiatives are bearing fruit, and we look forward to executing our turnaround as we return AutoWeb to consistent growth and profitability. With that we'll now open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Lee Krowl with B. Riley FBR.
Lee Krowl: Hey, guys, thanks for taking my questions. A few if I may, just first curious if you can provide a little bit more detail on the trials with some of the top 150 dealer groups, maybe provide a little bit of detail around the timeline and feedback from that channel.
Jared Rowe: Yeah. Hey, Lee, thanks for the question. We continue to work on those. We've got a few in market. We're evolving and refining them. The good news in my mind is our partners are very engaged with us and they continue to work with us on making certain that we evolve into something that is mutually beneficial. So the timelines when you talk about a product execution like this with the top 150 dealer group is a little bit longer than what you see with a retail sale because that's a bit more transactional. And this is a bit more strategic. But we feel good about the progress that we're making, and we're excited about the potential.
Lee Krowl: Got it and then on the gross margin progress, you guys kind of highlighted the fourth consecutive improvement, the horizon is kind of historical or prior peaks around 30%. What are kind of the key drivers that take you from where you sit today to kind of that prior peak gross margin levels?
J.P. Hannan: Well, as I said, my prepared remarks and I think we've got the cost structure where we need it to be sustainable and we will drive more and more of the top line to the bottom line. Now as a result of the way we're operating and the way we are spending our SEN dollars. So that's going to be the biggest drivers just holding – maintaining the discipline and then increasing the volume.
Jared Rowe: I guess one thing I would add to Lee is, we implemented a new sales motion, new selling motion in I guess mid to late Q3 around retail click sales. And I think that's something I highlighted in a in a previous call. Last quarter, we talked about wanting to increase the number of dealers who purchase multiple products from us in particular purchase clicks along with leads, and we made some good progress there. And the margin characteristic of that click product is just far more attractive than the lead product. So getting more and more of that bundled is incredibly important as well and is helping to push the margin. Just to give you kind of an idea. I think what we talked about last time was we had about an 8% attach rate, which means that 8% of the dealers who are on our lead product also buy clicks. That number is north of 11% now, and like I said, we only got really six weeks of selling activity against that with the new sales motion and the new approach. So we had one of the biggest sales quarters from a retail click perspective, that we've seen in our history and we did it about a month and a half. So we're – that's another way that you'll see us keep pushing margin is just product mix.
Lee Krowl: Got it and then maybe just kind of – you guys have a lot of wood to chop that is completely absent of industry churns, but maybe just talk about kind of your expectations for Q4 as it relates to seasonality and kind of the ongoing trends in new cars. Just trying to get a sense of where you guys can grow against kind of an industry backdrop that's flat to down.
Jared Rowe: I mean, I'll take that. I mean, if you look at last year, I mean, we did about 32 million or so in the fourth quarter. That was all already after some of the declines we've seen in the year. And we're coming out of this quarter at 28. So I mean, we do think we will get some seasonality, we also think that just be some organic growth from all the efforts that we have internally right now on the sales side.
J.P. Hannan: Yeah. And to your point Lee, we got a lot of wood to chop execution wise, and that's where this mix stuff is so important to us. We've carried some of the momentum that we built around the retail click sales and in Q3 into Q4. And we carried through some of the momentum that we've had around continuing to create more efficiency on the lead gen side, where we continue to be able to do more with less and so we do hope to get some of the uptick with seasonality. We also hope to sell into that down cycle with high attribution, high ROI, relatively inexpensive products when you compare it to some of the competitors in the market, but to your point, we got a lot of work to do.
Operator: Thank you. Our next question comes from Gary Prestopino with Barrington Research.
Gary Prestopino: Hey guys, how you doing?
Jared Rowe: Hey, Gary.
Gary Prestopino: J.P., could you go through that – I was trying to write this down as quickly as possible? You talked about the cash. And I think was down and I think you said that a lot of that had to do with just some timing on collections of receivables. So could you go through that again?
J.P. Hannan: Yeah, I mean, we finished the quarter with a million dollars of draw still on our credit line. Now, the way we manage that is we use it for working capital. And just to smooth out – when things are due versus when we collect throughout the month. So the collections were a little slower at the end of the quarter, and as a result, we didn't have that fully paid down as we normally would, so some of that carried over. But absent that, we would have had no balance on the line
Gary Prestopino: Okay, so you had no balance on line. Alright and then in terms of being behind in sales is that mostly systemic to what you guys – to AutoWeb, it's not really something dealing with the industry as much.
Jared Rowe: Yeah, Gary, we just haven't had the revenue come on line as fast as we wanted. We didn't turn to really start transforming the sales team until about a quarter or a quarter and a half ago is when we there and we focused on some of the operational issues first, and when we started digging in there, we found some things that we didn't expect in terms of our go-to-market approach. We've got a good solid foundation, but there's an awful lot of work we need to do in the selling motion. And that's one of the things that I've highlighted a lot is we're fundamentally shifting our selling motion internally. For several years, we've been very transactional and now we're trying to think about the right way to deliver messaging around our products and services. And in particular how you think about actually positioning the products and when you position them, right, do we always lead with leads? Because we've done that for the better portion of 20 years or do you enter the conversation with clicks and then work your way through the product line. And so we've had to revamp some of those efforts. We've also been building some capabilities and top grading some talent there as well. So all that work is starting to bear some fruit, but it was a bit of a heavier lift than we initially anticipated.
Gary Prestopino: Okay, so is it – again, is the sales being behind where you think they're going to be it deals with both leads and clicks and it's just internally with what you guys are doing and a lack of are getting to the sales force late to transition them to better sales methods? Is that kind of the way we read it?
Jared Rowe: It is I'm not happy with where we're at on either of them. But when I look at the sales efforts, and I look what we've got, we got a good team; we got a good set of products. When positioned correctly, we get the kind of results that I highlighted from a click perspective. So I like this problem, because this is an elbow grease problem. We just need to bear down and execute a little bit better. And that's within our graph.
Gary Prestopino: I know that seasonality in Q4, but given where you ended Q3, are we looking at a sequential decline in revenues versus Q3 in Q4?
J.P. Hannan: No, I don't believe so. I mean, we saw some lift in closing out October now, but preliminary numbers showed some lift and we anticipate that that should hold.
Gary Prestopino: Okay, thanks
Jared Rowe: Thanks Gary.
Operator: Thank you. Our next question comes from Ed Woo with Ascendiant Capital.
Ed Woo: Yeah, thanks for taking my question. My question is more on the industry you mentioned that dealer profitability for new cars are low, do you think that's sustainable? What are you hearing from your dealer customers? What are they mostly worried about heading into 2020?
Jared Rowe: Yeah. Hey, Ed, thanks for the question. Yeah. Now, the kinds of margins that you're seeing on the new car side is, it's not sustainable without increased support from the OEM, and you're starting to see some of that. Also we talked about digital retailing for years in this industry, but realigning those workflows in the front-end of these dealerships, so that they can generate better operational efficiency and retain more of the margin that's available to them in the front end is incredibly important. And when you look at the overall profitability in the new car side, it's starting to look an awful lot like 809, maybe 10. So we've got a lot of work to do as an industry there. But there is a general concern with the clients that I talked to about making certain that they're getting the most out of out of every opportunity they have. And you and I have talked about this in the past. I think that's one of the areas of responsibility that digital marketers like us have is making certain that we're helping our clients be as profitable as humanly possible, and we can't create margin, but we certainly can help them retain as much as they can. And that's the responsibility we take seriously.
Ed Woo: That sounds good. Well, that's all the questions I had. Wish you guys' good luck. Thank you.
Jared Rowe: Thanks Ed.
Operator: Thank you. Our next question comes from Bruce Goldfarb with Lake Street Capital.
Bruce Goldfarb: Jared and J.P., thanks for taking my call and congratulations on all your progress of success.
Jared Rowe: Thanks Bruce.
Bruce Goldfarb: Can you talk about, I know you guys been talking about expanding within the top 150 auto dealer groups? Can you talk about your progress there?
Jared Rowe: Yeah. No, we continue to make some progress there. It's mainly in the in the areas of rolling out the pilots that we've talked about. And we've added to that since we last talked. So we continue to expand. But it really is focused on the product bundles. And I think that's something we've talked about in the past as well, as when we talked to top 150, dealer groups or if we talked to them – we try and talk with them as more of a strategic partner. And we try to bring our capabilities to bear in a slightly different way. That's one of the reasons why the sales cycle is a bit longer, because this isn't just kind of cookie cutter product that we that we deliver. We've got a blended solution that leverages all of our capabilities. And that requires some testing, that requires some refinement, that requires some message management and so that's where we're at with that. We're engaged, we feel good about it, the last thing I want to do is push too quickly on that, we want to make certain that we get it right and our clients see value in it. Because the top 150 dealer groups, they've got a lot options as you all dealers, and we want to make certain that if they're going to give us a commitment on their side that we give them our best effort on the other side. So making good progress there we really are. The sales cycles are slower. But we're still engaged and we're evolving to a point where I think we're going to see some results here in the next couple of quarters.
Bruce Goldfarb: Great, thank you and then have you been able to attract talent and – because I know you Guys' have been trying to hire and in what areas are you focusing on?
Jared Rowe: Yeah. No, absolutely. We've got three general geographic locations that make up the bulk of our employee base and Southern California, Florida and then Guatemala. And quite frankly we haven't had an issue attracting the kind of talents that we want. This is a really interesting opportunity for a lot of folks. It's not often you get a chance to really have an impact and really help build something. And I think that's helped us attract the kind of people that we're looking for. And also when I got here, we had a talent base and we build on a lot of the folks that are here as well who are dedicated long-term team members. So yeah, we like where we stand from a talent perspective. We're always looking to kind of upgrade the folks we have by investing in them and giving them new opportunities, but we haven't had an issue attracting talent.
Operator: Thank you. Our next question comes from JP Geygan with The Global Value Investment Corp.
JP Geygan: Good afternoon. Three questions if I may, first, you've done a really nice job controlling costs specifically SG&A. I [indiscernible] there's any additional opportunity to take fixed costs for additional savings in either cost of revenue or SG&A?
J.P. Hannan: Hey, JP. As I said in my remarks and we – of course, we're going to continue to look for efficiencies anywhere we can we, we want to make sure we have the resources necessary to do and follow through on our strategy here, but we're going to continue to look for any opportunity and there are certain things that will just fallout from the new things that we put in place, new technology, they will just become more efficient. And that'll be the byproduct of its cost savings.
JP Geygan: Okay, you spoke a lot about your customer base and how your relationships are developing, but I'm curious if you might talk about the competitive landscape from your perspective, specifically, peers might be reacting to, for lack of a better term, your redesigned product lineup.
Jared Rowe: Yeah. Hey, JP. This is Jared. We haven't had much reaction from our competitors quite frankly because they never focused on what they do, which is a little bit different than what we do. As you know we deliver value in a way that that's only similar to one other company in the industry, but there is a lot of substitution that goes on across that. So no reaction in terms of what we're doing and a good thing not a bad thing, it gives us the opportunity to really focus on what makes us unique, and where we have a right to win in the market. And where we have a right to win in the market is – it's in lead gen, it's in that click area that – basically our vertical search engine. As you and I've talked about, it has a lot to do with our email capabilities there in an integrated fashion than our data, so not much reaction on that point. But we continue to make good progress. But we've got some work ahead of us, but we like where we're positioned and how we're position.
JP Geygan: Okay. And finally, I'm hoping for a little bit more color on the progress you're making in your strategic plan. And particularly, you make the statement in your 10-Q that the objective is to generate substantial profitability throughout 2020. I don't think I'm going to be lucky enough to have you tell me what that means. But it seems like the EBITDA levels in your refined loan covenants provide some sort of a guide. And then Jared, you've historically said, you want to – I think you've used the term nail it and scale it. Where are you in terms of the development of the strategic plan through that lens?
Jared Rowe: Perfect, let J.P. start with the numbers.
J.P. Hannan: Sure, you right and we've not released any guidance as to what we think for next year, just trying to finish out this year at this point, but here's our objective, we're trying to build this and make this a sustainable turn around and build sustainable profitability throughout all of next year. And as you mentioned, if you look at our bank covenants, I mean, that's what's necessary, and we feel we have a plan for that. And we're on the path for that.
Jared Rowe: And JP in terms of just the execution here, we feel good about we've got control the cost on the fixed side, we think we've taken that down to a good level to J.P.'s earlier comment though, there's always room for improvement there and we're going to continue to be opportunistic. On the variable cost side in particular, in the cost of revenue side, we've made some good improvements here over the last quarter, we really have on becoming more efficient. We think there's more opportunity there as well, and we're going to continue to execute on that. But we feel pretty good about how we're controlling the inputs to the business. As I mentioned earlier on the sale side, we've got some work to do. We're getting there, but we've got some work to do still. And then on the product evolution side, we've got some work to do there as well, we've got the new bundled solution, but we're going to need to continue to evolve it. So in terms of where we're at, I think we've got a good solid foundation, we still have work to do in terms of really promoting and pushing our product more effectively than we do today. And I think you'll see that improve over the next couple of quarters. And that'll really, I think drive some of the growth that we're talking about. On top of that, then we do like I mentioned have to evolve our products that's kind of probably trail a little bit other than trail a little bit on the – it'll trail the distribution improvement. But we like what we have right now and we think we have is really capable and really valuable. So I don't think we're going to be really hitting on all cylinders for a while yet. But I feel really good about where we're at. I feel really good about the work that the team has done. And I feel really good about the fact that we're in control of this in a way that maybe we weren't a year ago, that's going to allow us to thoughtfully manage it and thoughtfully grow it. The last thing we want to do is give away all the hard work that we've done on the margin side, for the sake of revenue, that's not what we're here to do. So we're going to be a bit deliberate, but we think we're pretty close to really starting to push a little bit harder on that side.
JP Geygan: Great, well you've made a lot of progress so far. I look forward to watching that develop. Thank you.
Jared Rowe: Thanks, JP.
Operator: Ladies and gentlemen, thank you for participating in today's question-and-answer session. I would now like to turn the call back over to Mr. Jared Rowe for any closing remarks.
Jared Rowe: Well, I just want to say thank you. And I want to say thank you to everybody who joined the call today. I want to say thank you to all of our stakeholders, the team members here at AutoWeb, our clients and then also our investors and shareholders. We appreciate all that you folks do and we will be talking again soon. We look forward to chatting about the Q4 results early next year. So thanks everybody and we'll talk soon.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.